Operator: Hello, and welcome to the Acushnet Holdings Corporation Fourth Quarter 2021 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Ms. Sondra Lennon, Vice President of Planning and Analysis and Investor Relations. Please go ahead, ma'am.
Sondra Lennon: Good morning, everyone. Thank you for joining us today for Acushnet Holdings fourth quarter and full year 2021 earnings conference call. Joining me this morning are David Maher, our President and Chief Executive Officer; and Tom Pacheco, our Chief Financial Officer. Before turning the call over to David, I would like to remind everyone that we will be making forward-looking statements on the call today. These forward-looking statements are based on Acushnet's current expectations and are subject to uncertainty and changes in circumstances. Actual results may differ materially from these expectations. For a list of factors that could cause actual results to differ, please see today's press release, the slides that accompany our presentation and our filings with the U.S. Securities and Exchange Commission. Throughout this discussion, we will be making reference to non-GAAP financial metrics, including items such as revenues at constant currency and adjusted EBITDA. Explanations of how and why we use these metrics and reconciliations of those items to a GAAP basis can be found in the schedules in today's press release, the slides that accompany this presentation and in our filings with the U.S. Securities and Exchange Commission. Please also note that when referring to year-to-date or full year results or comparisons, we will refer to the 12-month period ended December 31, 2021, and the comparable 12-month period. With that, I'll turn the call over to David.
David Maher: Thanks, Sondra, and good morning, everyone, and thank you for joining the call today. As we will share with you this morning, Acushnet wrapped up a terrific year, exceeding fourth quarter expectations as our team once again delivered in a challenging supply-side environment. Tom and I will also outline our initial outlook for 2022 and address how the Company is responding to leverage competitive advantages to meet strong demand while confronting supply chain complexities. First and foremost, we are encouraged by the game's momentum with U.S. rounds up 5% in 2021 and up 20% or almost 90 million rounds versus 2019. This increase over the past two years was aided by play from some 800,000 new golfers with juniors and women the fastest-growing segments as reported by the National Golf Foundation. Golf's participation story and trajectory outside the United States are similar, and we -- project rounds were up over 10% for the year in ex-U.S. markets. Acushnet's business is built around the needs and preferences of our target consumer, the game's dedicated player. This connection drives innovation and an organization-wide commitment to deliver products in services of the highest quality, which, in turn, fuels the Company's sustaining growth. This focus on product and people continues to serve the Company and our shareholders well. As was evident throughout 2021, the Acushnet team's creative spirit of innovation has powered the Company's many successes, and I am especially appreciative of my fellow associates for their dedication and resilience during the past few years. The Company's financial performance and growth are fueling strategic investments across the organization to fortify Titleist and FootJoy market leadership positions for the future. Investments in product development and golfer connection are at all-time highs. Our major capital investment in golf ball operations is well underway and increased spending behind the Company's digital platforms is strengthening our B2B and B2C capabilities, which will positively impact our trade partners and golfers interact with our brands. In affirming our disciplined approach to capital allocation, the Company returned $115 million to shareholders in 2021 through our dividend and share repurchase programs, representing our largest annual return to-date. Building upon this momentum, I am pleased to announce that Acushnet's Board of Directors has approved a 9% increase to our quarterly dividend to $0.18 per share. The Company has raised its dividend each year since initiating this program in 2017. And as we look to the future, we are confident that the Company's strong balance sheet will fund ongoing investment in organic growth and continued support of our dividend and share repurchase programs along with targeted M&A that leverages our expertise, infrastructure and global reach. Now moving to our results. Here on Slide 4, we outlined fourth quarter and full year sales and earnings. For the quarter, sales of $421 million and adjusted EBITDA of negative $5 million reflects strong demand and our decisions to prioritize production capacity towards building inventory for 2022 and as well as the planned decline in Q4 club sales, which comped against last year's TSi driver launch. For the full year, Acushnet revenues were up 33% to $2.15 billion, with double-digit gains in every segment and every region. Adjusted EBITDA increased 41% to $328 million, and the Company generated $314 million in operating cash flow. At the core of this growth is the momentum generated by new Pro V1 golf balls, TSi drivers, Titleist irons, FJ Premiere and HyperFlex golf shoes and many other successful new products. And as Tom will address gross margins held up well throughout the year as the tangible impacts of supply chain-related cost increases were more than offset by favorable sales mixes, higher ASPs and reduced promotional activity. Now looking at our business by segment. Titleist golf ball sales of $668 million were up 32% on the year, led by record sales of new Pro V1 and Pro V1x models. The growth was led by the EMEA, U.S. and Japan markets, and we have been pleased to see demand for corporate custom golf balls begin to recover following the 2020 decline. Titleist clubs also finished the year up 32%, led by new TSi metals and with gains in every product category, which is especially notable given our two-year product life cycles. In achieving this growth, our team has pushed the limits of supplier component availability and our own production capacity as we chase steady demand throughout the year. Titleist TSi drivers had an especially strong year and we're the number one driver on the PGA Tour in 2021. And we are very pleased with their early response to our new T-Series irons as we enter the peak spring club fitting season. Titleist gear posted a 29% gain on the year with growth in all product categories as our team did great work to keep product flowing as we strive to maintain field inventories and keep pace with brisk demand. And FootJoy's business increased by near 40%, led by footwear and apparel, which grew at accelerated rates. The FJ brand is healthy and vibrant, inspired by innovative footwear ranging from the classic inspired premiere, the athletic Flex and Pro SL, the number one spikeless shoe in golf. In apparel and outerwear momentum, which is particularly strong in the U.S., EMEA and Korea. While not reportable segments, Titleist apparel in Asia and Shoes also posted robust growth for the year. Shoes was especially strong in the U.S. market, which was up over 50%. Next to Slide 6 and a quick look at our business by region. Here, you see all markets were up over 20% for the year as demand for Acushnet products was consistent across regions. Typically, we see outlier markets for one reason or another, but this was not the case in 2021 as the Acushnet success story played out similarly across our largest markets in the U.S., EMEA, Japan and Korea. This is a testament to the good work of our global sales and marketing teams and positioning our products and our supply chain leaders who effectively coordinated tight availability to best meet global demand. Now looking forward, we are encouraged by strong offer participation and enthusiasm for the game, including a golfer base that grew in both 2020 and 2021. Market fundamentals are strong, trade partners are healthy and channel inventories are generally lean. Looking inward, the talented Acushnet's team is motivated to build upon our momentum as we structure our business for continued growth in spite of supply chain limitations, which we expect will impact our business throughout the year. The professional game is off to a great start in 2022 with especially exciting starts on the PGA, LPGA and DP World Tours. This energy around the tours, especially in the first quarter, is an important catalyst as the golf season ramps up to a full opening in Q2. And Titleist golf balls momentum across worldwide tours is also strong with usage at 75% and Titleist golf balls winning 10 of the last 12 PGA Tour events and winning every tournament played on the LPGA Tour in 2022. We recently launched new Titleist AVX Velocity and TruFeel golf ball models and are poised to also launch new Tour Speed and Tour Soft golf balls in Q2. You will note the split launch timing is a change from prior years as we strive to make the most of tight raw materials availability through the first half of the year. In similar to 2021, we expect that Titleist golf balls will be on trade allocations for much of the year. First half, Titleist Golf Club introductions are on schedule led by the launches of new Vokey SM9 wedges in March and new Scotty Cameron Phantom putters in April. New Vokey wedges made their PGA Tour debut as the most played wedge at the tournament of champions in January and have been number one at every PGA Tour event this year. In the first two months of the year, Scotty Cameron putters have won half the events on the PGA Tour and added wins on the DP World and LPGA tours. As you might expect, we're excited about both product lines. And FootJoy is off to a great start, led by their new fuel footwear launch, and we'll soon introduce an expanded range of women's footwear and the new Tour Alpha series in Q2. FJ apparel and outerwear also carried great energy into the new year and trade response and bookings to our spring collections have been terrific. Lastly, we have high expectations for Shoes and look to build upon our golf momentum and expect the ski category will begin to recover later this year following two years of retail disruption. In closing, we are optimistic about the structural health of the game in golf industry as golfers walk in golf shops in the coming months, they will be enthused to see and try a wide range of exciting new Acushnet products designed to help them play their best golf. Our team has a good handle on circumstances that are within their control, and I am confident they will continue to excel at adapting to the uncertainties that we are sure to confront as we navigate the coming months. Thanks for your attention this morning. I will now pass the call over to Tom.
Tom Pacheco: Thanks, David, and good morning, everyone. I would like to recognize all of our associates for the amazing efforts they put forth to manage through the continued impact of the pandemic and unprecedented supply chain challenges to deliver truly exceptional results for Acushnet in 2021. Starting with our Q4 results on Slide 10. Consolidated net sales for the quarter were $421 million, essentially flat to 2020 on a reported basis and up 1% level FX. Overall, strong demand continued, and this is a solid result, especially given the comp against our metals launch in Q4 of 2020. Gross profit for the fourth quarter was $204 million, down 7% versus last year, and gross margins were 48.6%, down 380 basis points. The key drivers here were higher inbound freight costs, which continue to escalate, higher materials and production costs resulting from supply chain disruptions and lower sales volumes of golf clubs partially offset by higher sales volumes in FootJoy and higher average selling prices in golf balls. SG&A expense in Q4 was $209 million, up $35 million compared to 2020 and R&D expense was $15 million, up $1 million. Continued investment to take advantage of the increased levels of demand led to higher SG&A expense across all reportable segments mainly in advertising, promotion, selling and distribution. Income from operations for the quarter was a loss of $22 million, down $49 million from 2020. Other expense was $1 million, down almost $8 million from the prior year, primarily from the absence of the reversal of an indemnification receivable related to an audit settlement that was recorded in Q4 2020. And income tax expense was 700,000, up 9 million from the prior year, primarily as a result of the absence of the associated tax benefits on the other expense item, which was recorded in Q4 2020. Net income attributable to Acushnet Holdings was a loss of 26 million and adjusted EBITDA was a loss of 5 million. Moving to our full year results, consolidated net sales for the year were 2.15 billion, up 536 million or 33% on a reported basis, and up 31% level effects compared to 2020. Gross profit was 1.12 billion, up 35% and gross margins were 52.1%, up 60 basis points from the prior year. Gross profits were higher across all reportable segments which comes primarily from higher sales volumes and higher average selling prices during the year, but partially offset by higher inbound freight across all segments, and higher raw materials and manufacturing costs primarily entitled as golf balls. SG&A expense for 2021 was 795 million, up 30%, compared to 2020 and R&D was 55 million, up 6 million. Much like I mentioned for Q4 investments we made throughout the year to take advantage of the increased levels of demand, but the higher SG&A expense across all reportable segments, mainly in advertising promotions, selling distribution and information technology. In addition, our strong financial results led to higher employee related costs for 2021. Income from operations was 260 million, which was up 114 million from 2020. Interest expense was 8 million, which was 8 million lower than 2020 on lower borrowings, and lower average interest rates. Other expense was down 12 million, primarily due to the absence of the indemnification receivable reversal recorded in 2020 and a decrease in pension settlement charges. And income tax expense was 64 million, up 51 million, primarily because of higher income before taxes. Net income attributable to Acushnet Holdings was 179 million, up 83 million and adjusted EBITDA was 328 million, up 41%. There was a reconciliation of net income to adjusted EBITDA for Q4 in the full year in our earnings release, as well as in the appendix of the slide presentation. Moving to Slide 11, we continue to benefit from the strength of our balance sheet. At the end of 2021, we had about 280 million of unrestricted cash on hand. Total debt outstanding was approximately 316 million, a decrease of 20 million from the end of last year. And we had 386 million of available borrowings under our revolving credit facility. Our leverage ratio was 0.8 times at the end of 2021, down from 1.6 times at the end of 2020. Consolidated accounts receivable at the end of 2021 was 174 million, down 13% from the end of 2020 on very strong cash collections during the fourth quarter Our day sales outstanding were 52 days, which were down seven days compared to 2020. While continued strong demand and supply chain challenges impacted our inventory levels throughout the year, we were able to selectively build inventory during Q4 to better position our business for the upcoming season. At the end of 2021, consolidated inventories were $413 million compared to $358 million last year, up $56 million. The year-over-year increase was driven by FootJoy which was up 34% across footwear, apparel and gloves, and golf clubs, which was up 30%. Cash flow from operations was $34 million for Q4 and $314 million for the full year of 2021. This compares to $97 million and $264 million for the comparable periods in 2020. And we continue to make investments in the business in the form of capital expenditures. We spent $18 million on CapEx during Q4 and $38 million for the full year, which was up $13 million from 2020. For 2022, we expect our capital expenditures to increase to about $60 million, as delays in receiving equipment caused by supply chain challenges shifted some of our 2021 CapEx into 2022. Turning to Slide 12. Our strong financial results have supported the continued execution of our capital allocation strategy. Our highest priority remains investing in the business with a focus on product innovation, golfer connection and operational excellence, and we continue to pursue acquisitions that align with our focus on premium performance products that appeal to dedicated golfers. We believe these investments will advance our long-term strategy and drive growth at a favorable return. Our focus on generating strong free cash flow and returning capital to shareholders also remains a priority. In December, we paid our previously announced Q4 dividend, which increased our total dividends paid for the year to $49 million, up 7% compared to 2020. And as David mentioned, our Board of Directors today declared a cash dividend of $0.18 per share payable on March 25 to shareholders of record on March 11, 2022. This represents a 9% increase in our dividend and an expected Q1 cash outflow of approximately $13 million. During the fourth quarter, we repurchased approximately 662,000 shares for a total of about $35 million. For the full year, we purchased approximately 1.4 million shares for a total of almost $66 million, which left about $98 million remaining on our current share repurchase authorization at the end of the year. Through February 25, we had repurchased a little more than 1 million shares in 2022 for a total of about $53 million including $37.5 million from Fila completing the share repurchase agreement we announced in November. We expect to repurchase the remaining 45 million under our current share repurchase authorization between now and the end of 2022. Our capital allocation strategy is a foundational element of Acushnet's value proposition, which we continue to believe creates a compelling long-term total return for our shareholders. Moving to Slide 13. Our outlook for 2022 reflects continued strong demand for golf and our products, a healthy pipeline of new product introductions and the replenishment of lean field inventories. Our outlook also continues to be governed by supply chain limitations, which are causing raw material and component shortages and higher material costs across all of our businesses, which are driving up overall production costs. And we continue to face elevated inbound freight costs, which we expect to continue throughout the year. Taking these factors into consideration, we expect our full year 2022 consolidated net sales to be in the range of 2.175 billion to 2.225 billion. On a constant currency basis, consolidated net sales are expected to be up between 2.7 and 5.0%, and we expect full year adjusted EBITDA to be in the range of 325 million to 345 million. Within this, we expect full year gross margins to be down about 20 to 30 basis points. And we expect full year OpEx to be higher than 2021. However, OpEx will grow at a slower rate than sales. These expectations assume no significant worsening of the impact of the pandemic, including additional supply chain disruptions and incremental closures of global markets. We expect the timing of our business in 2022 to have a more normal cadence after having been disrupted during the past two years. For the first half 2022, consolidated net sales are expected to be a little more than 50% of full year sales, and we expect first half 2022 adjusted EBITDA to be about 60% of the full year down from about 80% in 2021. The decrease in first half adjusted EBITDA is mainly due to lower gross margins resulting from increased supply chain and freight costs and from higher OpEx, as we continue to make investments to support our higher level of sales and to maintain the leadership position of our brands. The second half adjusted EBITDA increase compared to 2021 comes from improvement in gross margins as we anticipate supply chain challenges begin to ease and from OpEx decreases relative to 2021. In conclusion, our associates and trade partners helped us manage through unprecedented supply chain and pandemic-related challenges to deliver tremendous results for Acushnet in 2021. Looking forward while we expect supply chain challenges to continue throughout the year, we are confident we will meet our financial goals for 2022 and deliver a solid long-term total return for our shareholders. With that, I will now turn the call over to Sondra for Q&A.
Sondra Lennon: Thanks Tom. Operator, could we now open up the lines for questions.
Operator: [Operator Instructions] Your first question comes from the line of Brett Andress with KeyBanc Capital Markets.
Brett Andress: Hey, good morning, guys. David, could you maybe dig a little more into your generally lean channel inventory commentary, I guess this is a multipart question, but what are you seeing from the weeks on hand or a month on hand perspective? That's the first part. And then, are there any differences in inventory levels either geographically or by product category? I think you mentioned balls staying on allocation here. And then the last part is, I guess, how do you think channel inventories really kind of evolved throughout 2020? Do we get back to normal this year at some point this year? Or do we go into '23?
David Maher: Yes. Okay. Good morning, Brett. So in most regions really across all our segments, they're lean as we said. And I'd characterize that in the down 10% to 20% with balls and clubs most impacted, right? So, we're a little better off with gear and footwear than we are with balls and clubs. Fair to say, we probably held ground in the fourth quarter in that any incremental production capacity was directed towards building our inventory levels for 2022. There are little to no discrepancies regionally, right? It's a consistent story around the globe. So that's really the framing of the inventory picture. Again, macro, call it down from our product -- Acushnet products down some 10% to 20%. And I'll remind you, they're seasonally low right now, right, as they should be with so much of the golf market about to open up in March and April. I think you'll see the marketplace in good shape come March, April as us and others pipeline new products into the market. But I do think we're going to be strained throughout most of '22, and it will realistically be until the third quarter that we begin to get some assemblance of normality as it relates to inventory, but we do expect to be tight throughout the first half of the year. I made the comment earlier that as an example, with golf balls, will be allocated on all models in all regions for at least the first six months of the year.
Brett Andress: And then just thinking about out EMEA in your exposure there. Is there any way you can breakout between maybe Eastern Europe and Western Europe? And have you factored in supply or demand disruptions into the '22 guide at this point? Just trying to get a sense of the broader exposure there.
David Maher: Yes. Obviously, real time what's happening over there. The immediate impact to our business to the golf business is limited, if not minimal. How this spreads throughout EMEA is still, of course, to be determined. From a supply chain standpoint, the only thing we would point to is just the cost of oil, right, which affect so much of our business. So -- but beyond that, I don't expect any supply chain disruptions that would be above and beyond, but the biggest variable here is certainly going to be what happens to the price of oil.
Operator: Your next question comes from the line of Daniel Imbro with Stephens, Inc.
Daniel Imbro: David, I want to ask one on the call of equipment and one on the apparel businesses. But starting on the golf equipment, obviously, you noted trends are strong, and it seemed like at the beginning of this year, you're seeing continuation of those trends. I guess as you're thinking about this year, what data points are you looking at to get comfort that we are seeing growth in that core dedicated golfer cohort that you mentioned, which obviously drives most of your sales? And then given what you're seeing, if we do see overall rounds played down this year, just as we [Audio Gap]
David Maher: Yes, Daniel. So when you look back at our business, we would say, of course, we're experiencing strong demand. And we know and expect that most of this comes from our core dedicated golfers. We know they're playing more. We know they're purchasing greater levels of equipment and apparel. And adding to that, we know that the more golfers play, the more dedicated, they tend to become, and we're seeing this also. And sort of, I think fundamentally to your to your question is this is the growth the group, these are the players which most often prioritizes performance in their purchase decisions. And I think fair to say this group has grown proportional to the total golfer base. So that's sort of broad commentary on how we think about the market today. As we look forward and I kind of tend to agree with your premise that, hey, you're looking at 21 rounds that were at a record level, and I don't know that a 22% decline would be because of golfers getting in and out of the game, I think it's more going to be a function of just the evolution towards a new normal in society, and as folks transition maybe from remote work to hybrid work. But I think at the end of it all, you're left with a game that's still going to be up double digits versus 2019, and we're just going to be left with the ebbs and flows of how the society responds in year three of a pandemic. But I do think there are some really good habits and trends and fundamentals of the game that should stick. But again, to wrap it up, I agree that, hey, there should be some -- it should surprise nobody of round to play or down a bit in 2022. Broadly equipment, again, we like what we see. We like current demand, as I said a minute ago, inventories are lean. We think we can get enough out of our supply chains to grow the business. That is a tall ask given the base we established in '21. But when you add it up, golfer marketplace and inventories demand, we think we're in a pretty good place as we head into the new year.
Daniel Imbro: Got it. That's helpful. And then on the apparel side, I think you mentioned spring pre-books are looking strong for FootJoy and Shoes right now. Any indication on the early kind of back half selling season preorders, I think a lot of that pre-selling is going on right now in the apparel side. And are you seeing any outside strength in maybe different groups of customers like resorts for green grass or in any certain regions on the apparel side as you look at the back half, maybe pre-order book.
Tom Pacheco: Yes. Again, a lot of our business, most of our business would tend to be embroidered green grass apparel. And you're right. Bookings are strong for the first half of the year. They are strong. We're also balancing what we believe is the proper amount to put in the marketplace. You've got demand and you've got expected turn in sell-through. So overall, the apparel space, which I think your question gets at a reality that it was probably if equipment began to recover in the back half of '20 and had a strong '21, the apparel recovery really was a function of starting in '21, and that was because supply chains just couldn't catch up in '20 and you lost the spring season. So we are really optimistic about apparel as it relates to certainly FootJoy, Shoes and even our Titleist apparel in the Asian markets. But I do think that the primary lead here, Daniel, is the first half story. And then there's going to be a bit of a wait and see as to what plays out in the second half. But initially, second half bookings are strong as well.
Daniel Imbro: Great. Super helpful. And then just a quick clarifier on the model. In terms of CapEx seasonality it looks like stepped up pretty meaningfully in the fourth quarter here. How should we think about the cadence of your CapEx guide for the year? Is going to be more back half weighted or maybe more regular by quarter by quarter?
David Maher: Yes, Daniel, I think it will be more regular by quarter. The back half nature in 2021 was really a function of delays in the supply chain, and we have a lot of orders out there now that are going to come in more evenly throughout the year.
Operator: Your next question comes from the line of Mike Swartz with Truist Securities.
Mike Swartz: Just wanted to ask a quick question on guidance -- you're still seeing supply chain challenges and some inflationary headwinds, particularly through the first half of the year. But maybe give us a sense just in terms of magnitude of what that means? But maybe how much that's holding back your guidance for the year?
David Maher: Yes, Michael, good morning. So, as we called out, headwinds, they'll vary by category, and maybe I'll break it down by category to give you some color. With golf balls, it's really a story of limited raw material availability, and that's preventing us from operating our ball plants at full capacity, at least in the first half of the year. We do think that eases in the second half of the year, different story in clubs, which is more a function of component availability and largely steel shafts. Last year, you may recall, we talked about a grip shortage. Now we've got some constraints on steel shafts. And then custom production for us in golf clubs has been at capacity for quite some time. And we do expect this to continue through the spring, which really has an impact on lead times, which are improving, although not as fast as anybody would like. It's a different story as we get to footwear and apparel. We've got a JV footwear partnership. It continues to serve us very well. And our challenge is less about making product -- producing products it's more about moving it around the globe. And that's an especially acute issue in the U.S. And as an example, we've delayed the launch of a couple of footwear models by about two weeks in the U.S. just because of the complexity of port issues and congestion in our distribution network. Not the case outside of the U.S. where things are on time. And I'd add in apparel and gear, similar to footwear, we're in decent shape from a production standpoint, the bottleneck is as much port-related, distribution network related and most of that exists in the U.S. So those are at minimum that are framing around how we think about some of the supply chain headwinds. I will say, coming off a year where sales were up 30-some-odd percent, we think we did a pretty good job managing those supply chain headwinds. And by virtue of us planning for growth, it should imply and does imply that we see a general sense of improvement in the supply chain environment, although still challenges and limitations.
Mike Swartz: Okay. And then maybe just talking about some of the investments that you referenced, I know that you laid out a few of those that came through in the back half of '21. But what we're seeing in the second half? Is this incremental investment? Or is it just a continuation of some of the investments you've made in capacity and product beginning last year?
Tom Pacheco: Yes, it's a continuation. We've -- the business has grown substantially from, say, 2019 levels. And there's a number of investments we've had to make and will continue to make to support the business at this level. And we continue to invest in our technology infrastructure to optimize our B2B and D2C platform. So, the investments are going to continue. We think our OpEx is at sort of a new level. However, it has declined some relative to 2019, if you would, as a percentage of sales. So, we are seeing leverage, but we are going to continue to invest at these levels.
Operator: Your next question comes from the line of Joe Altobello with Raymond James.
Joe Altobello: Just wanted to go back on the '22 guidance respectively that the sales guidance in constant currency, it looks like you're assuming an increase about 2.7% to 5%. How much of that is coming from price increases? How much of that is coming from inventory replenishment? And how much of that is more underlying demand?
Tom Pacheco: Yes, that's pretty difficult to parse out at that level, especially when you think of our 2-year product life cycle cadence. As an example, you've got a Pro V1 launch last year and a price increase. And as you think about 2022, no Pro V1 launch, it's in the second model year. So you would expect volumes to be down, but we're still going to benefit from the price increase. So as you think about that across the whole portfolio, with puts and takes, it gets difficult to parse it out into those buckets.
Joe Altobello: Okay. All right. That's fair. And I guess kind of shifting over to capital allocation. You laid out your priorities nicely but your balance sheet looks a lot different today than it did a couple of years ago. And I'm curious how that's impacted the way that you think about capital allocation going forward?
Tom Pacheco: At this point, I would say it hasn't impacted it very much. Our priorities and our strategy remain the same. We are still coming out of hopefully coming out of this pandemic cycle, and there's still a lot of uncertainty. So we will continue to operate, I'd say, cautiously. But we did buy $65 million worth of shares last year, and we did pay our dividends at about $50 million, and we would expect in 2022 that the dividend would be a little larger, and we're expecting to complete our current share repurchase authorization, which would put us close to $100 million of share repurchases. So I think David mentioned in his remarks, we returned $115 million of capital to shareholders in 2021, which was a record, and we would expect that to be closer to $150 million in 2022. So, we're going to continue to return capital to shareholders, and we're going to continue to look for M&A opportunities similar to what we have in the past. But I would say, despite the strength of our balance sheet, at this point, we haven't had any significant changes to our strategy, capital allocation wise.
Operator: Next question comes from the line of Casey Alexander with Compass Point Research & Trading.
Casey Alexander: Most of my questions have been answered, but I do have one question in relation to SUS, which you said had really strong growth in North America or U.S. Given your strong penetration into the green grass channel, is there an opportunity to introduce shoes into the green grass channel and continue to accelerate that growth?
David Maher: Yes, Casey. So really, the bulk and the majority of Shoes' business is green grass. So that's -- I don't know if that answers your question, but when we look at Shoes' U.S. business, I did make the comment, it was up 50%. That's primarily a green grass story.
Casey Alexander: Okay, great. That's my only question. My other questions were answered. Thank you.
David Maher: Thanks Casey.
Operator: Your last question comes from the line of Anna Glaessgen with Jefferies.
Anna Glaessgen: Thanks for the color on inventory build by segment. Could you also provide some color on the build between existing products and preparing for launches for the year or in the quarter?
David Maher: Yes. So I'll start with that one, Anna. Our launch schedule really for the first half is on track. As I noted, we have a couple of adjustments to our ball launch timing from what would typically be our approach in even-numbered years and to get a little more granular on that. New AVX Velocity, TruFeel golf ball models launched in late January, and we expect to launch new Tour Speed and Tour Soft in May. And again, in a normal year, we would have launched all those together, but we felt this was the right approach as we manage tight raw materials availability and try to make the most of our production capacity. So that's changed. We're about to launch new Vokey wedges in the next week, and we'll launch Scotty Cameron putters in early April. Both of those are on track and in good shape. I mentioned FootJoy, really excited about what's happening with FootJoy in the first quarter and into April, but a couple of footwear launches have moved out a couple of weeks in the U.S. And really, as Tom noted, our inventory is up -- it's in better shape this year than we were last year, up 15%, up over $50 million year-end '21 versus year-end '20. We're obviously very pleased with this increase, but ideally, it would be even higher at a higher level, particularly in golf balls, where we're most hand to mouth.
Anna Glaessgen: Great. And then as the channel is replenished, and you make product capacity for the year, are you expecting promotionality to reapproach prior levels or what's being baked in from that aspect in the gross margin?
David Maher: Yes. The supply-demand relationship in the marketplace has been such for the last 18 months or so that there's been little to no promotional activity. I don't know that we're going to get to a point of seeing meaningful promotional activity, at least in the first half of the year. In time, you're certainly going to see it resume to some degree, but we think that's going to be later not sooner and unlikely to see it at least in the first half of the year.
Anna Glaessgen: Great, thanks
David Maher: Thank you. And thanks, everybody. As always, we appreciate your time and your interest in the Acushnet Company. I hope you all have a great spring and we look forward to catching back up after the first quarter. Thanks again.
Operator: This concludes today's conference. You may now disconnect.